Operator: Good day and welcome to the NexPoint Residential Trust Q4 2021 Quarterly Conference Call. Conference is being recorded. At this time, I would like to turn the conference over to Jackie Graham. Please go ahead.
Jackie Graham: Good day, everyone. And welcome to NexPoint Residential Trust's conference call to review the company's results for the fourth quarter and full year ended December 31st, 2021. On the call today are Brian Mitts, Executive Vice President, and Chief Financial Officer and Matthew McGraner Executive Vice President and Chief Investment Officer. As a reminder, this call is being webcast through the company's website at nxrt.nextpoint.com. Before we begin, I would like to remind everyone that this conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 that are based on management's current expectations, assumptions, and beliefs.  Listeners should not place undue reliance on any forward-looking statements and are encouraged to review the company's most recent annual report on Form 10-K and the company's other filings with the SEC for a more complete discussion of risks and other factors that could affect any forward-looking statements. The statements made during this conference call speak only as of today's date and except as required by law, NXRT does not undertake any obligation to publicly update or revise any forward-looking statements. This conference call also includes an analysis of non-GAAP financial measures. For a more complete discussion of these non - GAAP financial measures, see the company's earnings release that was filed earlier today. I would now like to turn the call over to Brian Mitts, please go ahead Brian.
Brian Mitts: Thank you Jackie, and welcome everyone joining us this morning. I appreciate your time. I'm Brian Mitts, I'm joined by Matthew McGraner. Let's kickoff the call with some commentary on the quarter ended year, and then the cover our results and wrap up with guidance which we are initiating for 2022. I'll then turn it over to Matt to discuss specifics on the lease environment and metrics driving our performance guidance and our now estimate. With net migration continuing into our core Sun Belt markets and the continued shortage of high quality, affordable housing, NXRT continues to enjoy enormous pricing power with new lease rates increasing 24.5% and renewal rates increasing 15.6% across the portfolio in Q4 of 2021. Net migration or markets continues unabated. This continues to track capital and some cap rates to historic lows, and then rate increases to historic highs in our markets. As we've discussed before, our growth prospects are not dependent on acquisitions.  We continue to achieve mid-cap returns from our value-add strategy, where we can move yields 50 to a 100 basis points over three to five years from acquisition, which makes us less sensitive to absolute acquisition cap rate levels, non-going and widening shortage of affordable housing in the U.S. which is more acute in our Sun Belt markets as new household formation outpaces new housing deliveries gives us plenty of runway to continue implementing our value-add strategy across our existing portfolio and new acquisitions. Increased net migration coupled with the shortage of housing, positions NXRT to continue to aggressively push rates into 2022, while still maintaining high occupancies. Net income for the fourth quarter was $38.8 million or $1.50 per diluted share on total revenues of $58.5 million as compared to a net loss of $4.2 million or minus $0.17 per diluted share in the same period in 2020 on total revenue of $50.5 million. For the quarter, same-store rent increased 11.1% and same-store occupancy was up 30 basis points to 94.2%.  This, coupled with an increase in same-store expenses of only 1.7%, led to an increase in same-store NOI 3.9 million or 14.7% as compared to Q4 2020. We reported Q4 core funds from operations of $17.8 million or $0.69 per diluted share compared to $0.56 per diluted share in Q4 of 2020, or an increase of 23%. Net income for the year ended December 31 was $23 million or $0.89 per diluted share, which included a gain on sales of real estate of $46.2 million as compared to $44 million or $1.74 per diluted share for 2020, which included a gain on sales of the real estate of $69.2 million. For the year Same-Store NOI increased $6 million or 5.5% as compared to 2020. We reported core funds from operations in 2021 of $62.5 million or $2.43 per diluted share, compared to $2.20 per diluted share for 2020, which is an increase of 10.3%. We continue to execute our value-add business plan by completing 353 full and partial renovations during the fourth quarter, and reached 243 renovated units, achieving an average monthly rent premium of $182 and a 24.1% ROI during the year.  In substance today in the current portfolio as of December 31st we've completed 6,015 full and partial upgrades, 4,321 kitchen upgrades, and washer dryer installments, and 9,624 technology package installments. And then achieving an average monthly rent premium of $136, $47 and $43, respectively and an ROI of 21.6%, 72% and 33.5% respectively. Collections for fourth quarter 2021 we're 99.1% of total announce charge, which is in line with pre -pandemic levels. Based on our current estimate of cap rates in our markets and forward NOI, we are reporting a nav per share range as follows; $90.23 in the low end, $106.36 on the high end, and $99.38, at the midpoint is based on the average cap rates ranging from 3.5% on the low end to 3.8% on the high end. For the fourth quarter, we paid a dividend of $0.38 per share on December 30th. Yesterday, the Board approved dividend of $0.38 per share payable on March 31st. Since inception, we've increased our dividend 84.5%.  And for 2021, our dividend was 1.73 times covered by core funds from operations with a payout ratio of 57.9% of Core FFO. For 2022, we are initiating guidance as follows: net income per share, $4.05 on the low end, $4.25 on the high end, and the midpoint of $4.15. Same-store revenue of 9.4% increase in the low end, 11.1% increase in the high end, and 10.2% increase the midpoint. Same-store expenses, 7.2% increase on the low end, 5.5% increase at the high-end, and 6.3% increase at the mid-point. Same-store NOI, 11% increase on the low-end, 15% increase from the high-end with 13% increase for the midpoint. Core funds from operations per diluted share of $2.87 in the low-end, $3.07 in the high end, with a mid-point of $2.97. At the midpoint of our estimated 2022 core funds from operations at $2.97. This will represent a 22.4% increase over 2021 core of $2.43. So with that, let me turn it to Matt, for his commentary.
Matthew McGraner: Thank you, Brian. Let me start by going over our fourth quarter Same Store operational results. Our Q4 Same Store NOI margin improved to 59.4% up 358 basis points over the prior-year period. Rents showed 6% or greater growth in all markets, while Same Store average effective rate growth reached 11.2% for the portfolio. Houston lagged the other markets at 6.2%, while Atlanta, Phoenix, Las Vegas and Tampa all registered 12.8% or better year-over-year growth. Fourth quarter Same Store NOI was remarkable across the board, with portfolio averaging 15.9% driven by 8.9% growth in total revenues and a well-managed 1.7% growth in total operating expenses. Operationally, the leasing activity in revenue growth showed sustained upward momentum in the fourth quarter was seven out of our ten markets, achieving revenue growth of 7% or better. Our top-five being Tampa at 15.3%, Orlando at 14.9%, Nashville at 10.8%, South Florida at 9.9%, and Phoenix at 9.3%. Renewal conversions were a healthy 55.2% for the quarter with 7 out of our 11 markets executing renewal rate growth of at least 15% and no markets under 9%.  The leaders were Tampa at 24.5%, Orlando at 19%, South Florida at 17.5%, Phoenix at 17.1%, and Atlanta 16.7%. 2020 rent growth picked up considerably in our markets starting in Q2 last year. And through Q2 and Q3, we took advantage of market conditions and achieved new lease rates of 23.8% in Q3 and 24.5% in Q4. Renovations slowed in Q3 due to 60% resident retention and the GAAP between organic new lease growth and renewals widened. We made the strategic decision to push for higher new renewal rates to close that gap and provide more renovation opportunities. As a result, we saw retention drop to 54% and renewal increases grew from 10.5% in Q3 to 15.6% in Q4. In addition, we saw new lease has increased from 23.8% to 24.5% quarter-over-quarter. And the organic growth down to between new leases and renewals will reduce by 60% to an average of 41 box per lease on the occupancy product we're pleased to report that Q4 same-store occupancy remained over 94%, positioning us well for 2022. And as for this morning the portfolio is 96.5% leased with a healthy 60 day trip trend of 91.3%.  Turning to full year same-store NOI performance. Our margin improved by 32 basis points over 2020 to 57.6% same-store average effective rents and revenues each increased by 11.2% and 4.9% respectively and NOI helped strong across most of the portfolio in 2022. With seven out of our 10 markets growing NOI by at least 4%. Normal same-store growth markets for the year were Tampa, Phoenix, and Atlanta at 11.8%, 8.9%, and 8.1% respectively. Operationally, the portfolio experienced continued positive revenue growth in 2021 with 8 out of our 10 markets achieving growth of at least 3.6% or better in Houston and Charlotte lagged the rest top high markets were Tampa at 9%, Phoenix, 8.1%, South Florida at 5.9%, Las Vegas at 5.8%, and Orlando at 5.6%. Turning to our 2021 acquisitions and dispositions. As Brian mentioned, we acquired 4 Assets in 2021. Creek site at Matthews, the [Indiscernible] at Lake Norman and high-growth suburbs of Charlotte and Six Forks station and Hudson High House in the new market and major focus for us Raleigh, Durham.  Total acquisition activity added 1129 units to our portfolio of purchased -- total purchase value of $289.5 million. Once again, we were able to recycle capital from successful property dispositions while reloading our rehab pipeline and enhancing our next four years of growth in earnings profile. We sold Beechwood Terrace and Cedar Point Nashville on November 1st for 91.25 million of gross proceeds and produced a 3.5 times multiple on invested capital and 36.1% levered IRR on those sales, generating roughly $50 million of net cash proceeds that were used to complete the tax efficient reverse 1031 exchange into the two Charlotte assets. The new acquisition properties have all been performing extremely well since takeover being budgeted NOI by roughly 15%, including the most recent acquisition of Hudson High House in Raleigh-Durham that we closed on December 7 of last year. At Hudson, we plan to fully upgrade 210 units at an average cost of $13,550 per unit and generating premiums of $269 a unit with an ROI of approximately 27%. We plan to install roughly 160 washers and dryers, and generate monthly premiums of $45 a unit. We also planned and installed Smart packages in every unit and expect to generate monthly premiums of roughly $45 a unit. As a result, our underwriting 3 year average same-store NOI growth for this asset at 18.5%. Turning to 2022 guidance, as Brian said, we're excited to guide at 13% same-store NOI growth at the midpoint. From a geographical perspective, we're expecting particular strength across the following markets. We expect Dallas to grow same-store NOI by 17.7%, due to 12.4% budgeted revenue growth and a 7.3% budgeted expense growth. We expect Vegas to grow same-store NOI by roughly 19.2% driven by expected revenue growth of 10% to 11% and budgeted total expense growth of 5%. We expect our quarterly growth same-store NOI by roughly 14.8% driven by expected revenue of 92% and expected 4% budgeted total expense growth.  We expect Atlanta to grow those same-store NOI by roughly 13% driven by revenue growth of 10% to 11.5% and 6.5 which is budgeted total expense growth. Overall the markets are expected to see NOI growth between eight to 11%. Turning to the acquisition guidance. While the acquisition market certainly added challenges with the material supply demand balance driving cap rates down at 3 1/2% and below. We will still remain active in evaluating attractive opportunities that fit our style box. We will place a heavy focus on enforcing acquisitions in Atlanta, North Carolina, Phoenix, and South Florida, and are confident we will hit our $150 million to $300 million acquisition target. On the disposition side, we plan to exit Houston and bring Old Farm, Stone Creek and Hollister place to market in the second quarter of this year. Houston has underperformed our other stronger Sun Belt market since we took these positions in 2016, and we see an opportunity to trade this capital into higher-growth asset or assets while putting a multiple on invested capital in the four times range. A successful disposition here would represent approximately the midpoint of our NAD guidance range for the market.  Notwithstanding an extremely competitive acquisition market. As Brian said, we continue to be an internal growth story at our business or at our floor. To that end or guidance includes the following assumptions regarding the value-add programs. With planned upgrade 1,465 full interiors at an average cost of $10,460 per unit, generating $187 average monthly premiums for approximately a 21.4% ROI. Our four new acquisitions in the Carolinas make up roughly 20% of this total outflow. We played a complete 460 partial interiors out an average cost of $5,000 per unit and generating roughly $100 an average monthly premiums for a 23.6% return on investment. We plan to complete another 500 of other minor bespoke interior upgrades, for example, new flooring, backslash, counter tops, appliances, patios, etc., at an average cost of $530 per unit, generating a $22 average monthly premium, or 49.2% of ROI.  We planned and installed roughly 73 washer-dryer units this year at an average cost of $900 per unit, generating $47 average monthly premium, or a 63% return on investment. And then finally, we plan to install 1,100 additional Smart Home tech packages which will generate $40 to $45 dollars on average monthly premiums, or a 62.7% return on investment. Going into 2022, we feel that the trend we have seen over the last half of 2021 will continue into the summer months. We are already seeing sustained real growth in Q1 2022 with a blended lease trade-out of roughly 21%. We also expect our renovation strategy to help reduce turn costs and other repair and maintenance items associated with our units. Heading into 2022, we feel like the last three quarters of 2021 should prove instructive for our value-add programs. During these 3 quarters, rehab has a percentage of new leases, average, roughly 20% and added roughly 4.5% growth to an already robust 16% organic new lease growth. In terms of the sustainability of such increases, as Brian mentioned, at tenant next best option, our markets remain a newer Garden unit or a single family rental. The delta between this competition in our newly renovated housing stock remains historically wide and is deepening even more in most of our markets.  For example, we analyzed effective rents for Class B apartments generally, Class A apartments generally, Mid-America's reported rent, Camden's reported rents, as well as Invitation Homes and then AMH and compared them to our markets. For example, our Q4 2021 effective rent was $1,236 per unit compared to an average Class B effective rent of $1,450 per unit according to RealPage. Class A effective average rents according to RealPage are currently $1,750, roughly $520 premium to our portfolio average. MAA's and Camden's reported rents are $1,370 and $1,630 per unit or $170 and $400 premiums to our portfolio average respectively. And then finally, Invitation Homes and AMH's rents are roughly $1900 per unit or nearly $700 more than our portfolio average. These rig deltas inform our optimism about 2022 and we'll work hard to generate another year of outside the NOI and core earnings growth. And that's all I effort prepared remarks, thanks to our teams here at NexPoint and BAH for continuing to execute. Now back to you, Brian.
Brian Mitts: Thank you. Open it up for questions then.
Operator: [Operator Instructions]. And we'll go to our first question from Buck Horne with Raymond James.
Buck Horne: Hey, good morning guys. Congratulations, great work. Fantastic quarter. So a question I guess relates to [Indiscernible], going to provide some great color around comparisons of all alternative options for your customers. But the concern is of course, affordability in can the consumer continue to keep up with this rate of increase for too long? Just any color you have on rent-to-income ratios. How those are trending? What is the profile of the incoming renter in your portfolio looking like these days? And as you guys are starting to intentionally incur a little bit more turnover, just any signs of consumer pushback, any color you can add around that.
Matthew McGraner: Yeah, I'll take Buck. Thanks for the comments and the question. So pre -pandemic our average household income was roughly $50,000-$55,000, today that's ticking up over 60. So we're attracting a higher demographic, some of that's some of the newer deals in South Florida and Phoenix and Raleigh, Durham. But we're seeing -- at the same time, we're pushing rents, our percentage-based materially really is a few 100 bucks while I -- we think are and we're seeing our average household income go up over 10% over that pre -pandemic to today. So that gives us -- that coupled with the Delta and the deepening between us and single-family or us in the next Garden deal, we still think we're a seriously attractive option, especially when you consider all the amenities that we're adding to the assets.  What we've seen is higher retention as I alluded to in our comments, because when people walk around, it's just not that great of an option to go to get somewhere else. To your question about our people pushing back; yes, absolutely they are. But our teams at [Indiscernible] are doing -- this quarter are doing a great job of asking the perspective tenant to go and source other options. And often when they do, they come back and they're saying, well, it's going to cost me $500 to $1,000 to move, and I like what you guys have done here and there's no other better option. So that's why we're seeing above-average retention and above-average renewal increases.
Buck Horne: That's great. And one question, I frequent come across is given the rate of these types of rent increases, what's your perspective? Is there going to be push-back from, whether it's local politicians, or City Counsels, or do you have any risk in certain jurisdictions where, whether it's some sort of ordinance or whether or not a moratorium of sorts? What's your perspective on the risk of a rent regulation coming into play?
Matthew McGraner: Certainly lower than the gateway markets. We haven't encountered really any -- other than sort of [Indiscernible] or other than pandemic moratoriums, we haven't necessarily encountered any regulation or unionization of renters like in [Indiscernible] San Francisco and our markets thankfully, and then often times the municipalities are getting their condo flush do with increased property tax revenues I think I have to hand in this as well as filling their own coffers for their budgets. So I think luckily we own in markets and core markets that are less regulated. And as of today, we don't see anything from a regulatory standpoint, pushing back on our ability to meet the demand out there for people moving into our markets.
Buck Horne: Good guys, appreciate the color. Thanks. I will draw, I'll drop back in the queue. Thanks.
Matthew McGraner: Thanks, Buck.
Operator: [Operator Instructions] We'll go to our next question from Aaron Skloff with Skloff Financial Group.
Aaron Skloff: Question about labor and cost of materials on your renovations. Can you tell us what you're projecting in your cost line for those types of items or any other costs outside of that, that may alter your expectation, including things like property taxes or any other important expense line items, please? Thank you.
Matthew McGraner: Yes. Our cost of materials is up -- cost of materials and labor up a blended an additional 3% over what they were in 2021. But our rental increases are up roughly 9% above what they were in 2021, so we feel like we're more than offsetting that cost. There's no other kind of line items, other than what you mentioned between costs and labors that make up the renovation CapEx.
Aaron Skloff: An outside of renovations, the property taxes, real estate taxes. Are you confident that the jurisdictions that you were speaking about being relatively friendly will remain friendly? And does that change with any other markets that you're evaluating new entries into?
Matthew McGraner: We're not evaluating entry into any new markets and jurisdiction historically haven't been friendly to us. They try to raise our property taxes by a massive degree. This year is a little bit look better than last year. Last year we are -- from 2021 to 2020, we expected double-digit increases in property taxes, this year it's closer to seven on a same-store basis feel a little bit more optimistic this year about not having that large non-controllable expense be so high.
Aaron Skloff: Great. Thank you for your clarity.
Matthew McGraner: [Indiscernible].
Operator: [Operator Instructions]. A follow-up question from Aaron Skloff.
Aaron Skloff: You tell us a little bit about what your capital structural look like and going forward, what type of instruments you may be using and how that might affect fully diluted shares outstanding going forward?
Matthew McGraner: Cap structure remains pretty simple for us. We're not in the market looking for any sort of exotic data equity instruments. We have a basic Cap structure of common equity and then secured debt on each assets and then a company-wide revolver. So to the extent that we raised equity, it would be on a common basis. Most most likely during AGM execution, and we've historically done that at a premium or greater than a premium to our NAV.
Aaron Skloff: Thank you.
Operator: We'll take our next question from Peter Abramowitz with Jefferies.
Peter Abramowitz: Thank you. I just wanted to ask about the composition of your acquisition pipeline. How much of that is deals that are off market and sourced through relationships? And is there any big difference between those type of deals and what's being marketed?
Matthew McGraner: Hey, Peter, thanks, thanks for the question. I'd say roughly $100 million, $150 million are off. What I would call source through the family of BAH and are really our existing relationships that will. I don't want to say we are going to get like a fill but it should be a better cap rates in a widely marketed yield. So hopefully we'll hit on those and we think we will, we think there's a few in Raleigh. We think there's a few in Phoenix and a few in Atlanta that we're particularly interested in. And then kind of the marketed and that sub-set is about four deals. A couple of $100 million. The marketed deals that have been launched from NMHC and in here for average, roughly 13 to 15 deals, we expect those to be extremely competitive. Not withstanding a spike in the 10-year and interest rates recently, there's not really been any discounts. So we are still hovering around the low 3% cap range on a nominal basis.
Peter Abramowitz: Got it. I guess, for the off-market deals, would it be fair to say that those are dilutive, kind or excuse me -- accretive in year one for the cap rates kind of solution, to say that?
Matthew McGraner: Yes, when you take a forward look and you use our NAD, the [Indiscernible] put off market deals would look to be in the high threes to low fours, so depending on where you think we're trading, the NAD perspective and what you think we can do with the same-store NOI growth profile in the first year. Yes, I think that we'll have a positive [Indiscernible], especially when if we're able to pair that with the disposition of Houston in the low threes too.
Peter Abramowitz: Got it. It sounds good. Thank you.
Matthew McGraner: Thank you.
Brian Mitts: All right. Looks like that was the final question. We appreciate everyone's time, and thank you for the questions and comments.
Operator: And this concludes today's call. Thank you for your participation. You may now disconnect.